Operator: Ladies and gentlemen, thank you for standing by. Welcome and thank you for joining the Hapag-Lloyd's Analyst and Investor Q1 2023 Results Conference Call. Hapag-Lloyd is represented by Rolf Habben Jansen, CEO; Mark Frese, CFO; and Heiko Hoffmann, Head of Investor Relations. [Operator Instructions]. I would now like to turn the conference over to Rolf Habben Jansen, CEO. Please go ahead, sir.
Rolf Habben Jansen: Thank you very much and a warm welcome to everyone. Thank you for making the time to join us here on the Q1 presentation. As always, Mark and I will split it between us and we'll be very happy to take any questions afterwards that you may have. Maybe a couple of opening remarks. I think when we look at the market, volumes remain subdued. I mean we all saw the inventory correction starting in the second half of last year and I think that sort of continued into Q1. I would also say though that when you look at the quarter that towards the end of the quarter, at least the like-for-like numbers were starting to look a little bit better. I don't think that means that we're now going to see a very quick recovery, but I do think that that underlines the point that destocking is slowly, but steadily coming to an end and at some point in time we quite likely will see a bit of a pickup in demand. On our end, we made good progress on all the things that we wanted to do. We'll give you some updates on that also as we speak, particularly on the terminal side. Financially, I mean Q1 still has financials that are quite exceptional if you look at it in a historical context; good cash generation, balance sheet remains strong, dividend meantime paid out. In terms of market, as I mentioned, we think it's going to remain subdued for a little bit longer even if I do believe that second quarter market-wise will be better than the first one. Of course we see ships coming, but the main effect of that is only going to come in '24,'25. And if we look ahead, no major change compared to what we announced when we published our full year numbers. We do expect earnings to normalize, but we stick to our outlook. And in terms of what we plan to do, we'll continue to act on the things that we have defined in the context of trying to simplify and strengthen our business and invest where needed. And we also will work on our strategy towards 2030, which we hope to complete towards the end of this year. A little bit more detail on volumes and on rates. These graphs you know. We see that demand has been since August last year clearly down. I do expect that the lines will get closer and closer to each other and at some point in time, probably in Q3, I think they will cross and we'll start seeing some year-on-year growth. When you look at rates, some of the spot rates are back to the levels that we knew pre-COVID. Important to note here that that is a level that in the long run is not sustainable as costs have come up since 2019, 2020 and I think the reality is that everyone today favors cost that are 25%, 30% higher than they were at that point in time, which historically seen still means that costs are very low, but no longer anymore on the absolute low point that we have seen at that point in time. When looking back at the quarter, I think one of the highlights of the quarter for us was certainly that we continue to work on quality. You all know that our strategy is to try and do our utmost to become #1 for quality. We measure that already since a number of years on the one hand the quality promises that we defined 10 of them where I would say that by and large we have made good headway. The one where we still have work to do is on on-time schedule reliability and that is something that we will firmly put into our strategy towards 2030 as we simply must get better on that front. When we look at customer feedback, we measure that on NPS as some others do as well and we are about to wrap up our survey for the first half of this year. And we're really happy with the outcome of that because the outcome of that will be a Net Promoter Score that is significantly higher again than what we had this time likely in the very high 40s, which we believe is a level that we now must then try to keep. And what's also important there is that the consistency and the quality that we deliver has improved a lot as we see that every single area that we have around the globe has a net promoter score that is significantly positive. And we believe that's probably one of the most important things and certainly bases to build on. In terms of investments, nothing too new for any of you. Most likely you know that we have the new builds the 13000s already coming into our fleet and also our dual-fuel LNG ships are starting to come as from June this year. We are also doing the fleet upgrade program where we invest in 2 things. One is fuel savings, but the other one is also to increase capacity on existing ships by making technical modifications. We invest about $750 million in that program altogether. We have the container tracking. We were the first one to announce that last year. Now the installation of the devices is in full swing and we need to make sure that we get the majority of that done till the end of this year. On the digital front, we roll out new tools and things pretty much every quarter with a clear ambition to make it easier for our customers to do business with us. Then the last addition that we had and which we launched last week is Ship Green where people can avoid emissions of up to 100% of what they ship. We launched a product, which is Ship Green 25, 50 and 100 that dependent on your preference, you can book that with any confirmed shipments. It can be done easily because it can be done online. It can be done globally and we will also give you full transparency on what you have done and quarterly you would get the certificates that are needed. We do this based on biofuel and we're quite curious to see how that product will be taken up by the market. I hope that it will be sold out soon because that will also be encouragement for all of us do even more on that front. And then finally before I hand it over to Mark, a bit on the terminal front. As you know, we did a number of investments last year and beginning of this year. We are making good progress with that. The transaction with Spinelli was closed in the beginning of January after we got all the necessary regulatory approvals. J M Baxi Ports & Logistics was signed in January and actually closed on April 19, which we think is great. We had hoped that we could get all the approvals there in a period of 3 months and I think in the end we did it in 87 or 85 days or something like that so even a little bit ahead of target. The approval process for SAAM Ports & Logistics is still going on and we expect that to complete hopefully early in the third quarter. And with that, I hand it over to Mark to talk us through the numbers.
Mark Frese: Thank you, Rolf. Also from my side, good morning to everyone. As Rolf already said, the first quarter of 2023 was characterized by weak demand and declining freight rates for container transport. But we can say even in this challenging market environment, we were able to post another strong quarterly result clearly benefiting from our balanced geographic exposure, high share of contract business and the successful execution of our strategic initiatives and we will come to that in a bit. When we look at the next chart, as expressed a couple of times and as expected, earnings normalization continued in Q1 2023. Revenue was down by 33% to USD6 billion mainly due to lower volumes and freight rates. While EBIT of USD1.9 billion was clearly below the prior year figure, the EBIT margin of 31% and return on invested capital of 46% remain still on a historically high level. Coming to the volumes. So transport volumes in Q2 declined by 4.9% to 2.8 million TEUs. The Atlantic trade saw robust demand mainly from industrial customers and benefiting from the gradual easing of port congestion. In the African trade, we benefited for sure from the acquisition of the container liner business, Deutsche Afrika-Linien, in Q2 2022. All other trades were affected by destocking as said and weaker global demand, which overcompensated the volume increase in Atlantic and Africa. On the average freight rate, we have to say it decreased by 28% to USD1,999 per TEU due to significantly lower spot freight rates and the resetting of long-term contract rates. Nevertheless, compared to an even more negative market development, our quality freight products supported our freight rate development positively. At the same time, the average bunker consumption price was up 5% as compared to the prior quarter. In comparison to Q4 2022, the average bunker consumption price declined further on the back of lower oil prices. Unit cost increased year-over-year mainly due to higher bunker and repositioning expenses, but were clearly below the previous quarter. Equipment and repositioning expenses increased by 15% due to the higher expenses for moving empty containers. Vessel and voyage expenses increased by 5% as lower slot charter rentals and third-party vessels were more than compensated by higher port and canal costs. In total, unit costs in Q1 were up 3% or USD43 per TEU as compared to Q1 2022. But as said, the comparison to Q4 2022 unit cost started to decline due to lower congestion related charges, bunker prices and our cost control measures. Now looking at our cash flow. We see that despite much lower earnings, the strong cash generation continued in the last quarter leading to a very high cash balance of USD19.2 billion at the end of Q1. The investment cash flow includes a cash inflow of nearly USD1 billion from money market transactions. And as a reminder, last year we have started to invest excess cash in money market funds, which under certain circumstances do not qualify as cash under IFRS accounting. So instead, the investments are recognized under other financial assets in our balance sheet. In addition, we have invested almost USD500 million in our vessels and in our equipment as well as in the purchase of 49% stake in the Italian port and logistics company, Spinelli. Rolf talked about it already. The financing cash outflow of almost USD500 million worth was mainly related to repayment of debt and leasing liabilities. And as a result, finally, the very strong cash generation in the last 2 years, our balance sheet and credit ratios reached exceptional levels. At the end of Q1 2023, our equity ratio improved further to 74% and net liquidity stood at USD15.7 billion. As you know, last week the Hapag-Lloyd AGM approved the joint proposal of Supervisory and Executive Board to pay out a dividend of EUR63 per share or EUR11.1 billion in total. The dividend has been distributed to the shareholders on Monday of this week and we have to say even after distribution of this outstanding dividend, we continue with a solid net liquidity position. And I think with that positive message, I hand it back to Rolf for the market outlook and closing remarks.
Rolf Habben Jansen: Thank you, Mark. Just a little bit about the market. I think as always, this is all about supply and demand. Maybe first, let's look at the order book. The order book still very significant, I mean seems to stabilize around about this 27%, 28% of the global fleet. Clearly less orders again this year than we saw last year. I think that's entirely to be expected, but of course quite a lot of ships in the pipeline. Now we need to see what that is going to mean when looking forward. I don't think the situation is comparable to [Technical Difficulty] as we had an order book which was over 50% at the peak. On the other hand, it is still a very significant order book. And yes, some of it will be hopefully absorbed by recovery of demand and some of it will be because CII and certainly scrapping will pick up significantly. But I do think that it's fair to assume that when we look ahead into particularly 2024 and 2025, then the likelihood that supply growth will outpace demand growth is high. Inactive fleet still at a very low level. So if we compare supply and demand on the next page then, I think we can clearly see that for '23 I think the effect is still manageable also because quite a lot of the new ships are actually only coming in the second half of the year, which means that they will really start having an impact on the supply-demand balance from '24. But it looks right now as certainly for the next 2 years we will see more supply growth than demand growth, which will certainly put some pressure on the market. Remains to be seen how much will really be absorbed by CII and how quickly scrapping will pick up. We start to see some first signs of ships being sent to demolition yards, but still clearly more will need to be done. In terms of our outlook, we commented on that as we published our full year results and no reason to deviate that now. We think transportation volume will increase slightly. We are of course down in Q1, probably are going to see the growth only really in the second half of the year. When we look at it year-on-year, it should still be able to close a little higher. Bunker consumption price we expect it to go down, of course the freight rate too. And the ranges that we've indicated previously for EBITDA and EBIT are still valid. What are our priorities for 2023? First and foremost, let's continue to make sure that our service quality is good and customers are happy because particularly in markets that are not so strong, loyalty of customers is important and also the service that we were able to offer to them. When needed we will of course adapt to market conditions, which are always somewhat unpredictable. We'll continue to have a prudent financial policy, as Mark also alluded to a little earlier. We'll focus increasingly on cost. Yes, our unit cost is slowly starting to come down, but we must still get it down further even if we will have to accept that the cost will remain at a higher level than what we had pre-pandemic. We'll continue to work on building our terminal portfolio. We'll continue to invest in our teams, Hapag-Lloyd Academy being a good example there. We'll continue to look for new and additional measures to boost the progress that we make on the decarbonization and sustainability front. And we are working hard to develop our new medium-term strategy where we set our eyes on the year 2030. With that, that's the introduction from our side and we happily hand it back over to you.
Operator: [Operator Instructions]. The first question comes from Sam Bland from JPMorgan.
Samuel Bland: I have two, please. The first one is on the Slide 16 I think where you have the supply growth and then the potential offset from slippage and scrapping. The amounts of slippage and scrappage are kind of smaller than you showed at the Q4 presentation. I just wondered what might be behind that. Has there been less scrapping year-to-date than you might have thought or slippage doesn't seem to be happening or what's going on there? And the second question is on the Latin American trade, I think that's your biggest trade now by revenue. Could you just have a bit of an update there on how strong or weak that market is? Are there any contracts there? When were the contracts negotiated? Just general update on that line in particular.
Rolf Habben Jansen: Well, maybe first on your point on the supply growth on slippage and scrapping. I think we tend to follow Drewry if I'm not mistaken and they have basically lowered their estimates. In all honesty if you were to ask me personally, I don't see it much different than what we saw at that time. We certainly see some slippage. I also think scrapping will pick up, but it remains always looking a little bit in the crystal ball when you want to look at the next couple of quarters. I do believe next couple of years we will see slippage in the delivery of ships. How much that's going to be? Probably on average a couple of months. On the LATAM trade, I think we still see fairly good demand on the LATAM trade. At the moment, our ships are still chockablock full to LATAM. So I think that's a good sign. We have also secured a very significant chunk of our business under contract there. So all in all we're actually fairly happy with that trade, which maybe to some a little bit surprisingly seems to be a bit more robust actually than some of the others.
Operator: The next question comes from Lars Heindorff from Nordea.
Lars Heindorff: A few questions from my part as well. First, regarding the volume expectations in your guidance. I see your guidance is partly based on Drewry forecast, which is a small increase in overall volumes global demand for the full year and you expect to grow looks at least roughly in line with that. And just want to hear I mean what are the capacity plans? How much are you going to add and if you're going to stay fairly cautious on the capacity given the supply that you're getting now with the new ships? I mean what's going to bring you in line with the average growth in the market there? That's the first one. And then the second one is on slow steaming also still on the capacity side. Just wanted to get an update on how you're progressing with that and how much lower are you going these days? Yes, that's the 2 questions.
Rolf Habben Jansen: Let me try and take the first one. I think in terms of volume, I do not anticipate us to deploy significantly more tonnage going forward. I mean yes, we have some new ships coming not that many. Those will be fed largely into the alliance where we have planned for a very long time an upgrade of I believe it's the FE3. Apart from that, most of the growth in the remainder of the year needs to come from better utilization as we have seen that utilizations are somewhat under pressure in Q1. That means that in some cases, we have also decided to stop some services simply because that cost wise did not make a lot of sense anymore. But in the end no major increase in the capacity deployed for sure. The increase needs to come from better asset utilization. In terms of slow steaming, yes, we sail a little bit slower. I wouldn't know exactly how much, but my guesstimate is that we are about a knot slower these days than in the comparable period last year.
Lars Heindorff: Right. Can I just a follow-up on actually a different subject. It's on the cost side and it's on the charter-in fleet, which if I recall correctly, you've been saying previously that the average length of the time charter has been around 2 years. So what will that do to the stickiness on the cost side and how much of the cost base is actually on that charter-in cost?
Rolf Habben Jansen: I wouldn't know the exact size and I'm also looking a little bit at Heiko or Mark. But you are right that the average duration of our charter contracts is a bit over 2 years and that also means that that cost is somewhat sticky. That's a market problem to be honest because all the charters that were closed in the years '21 and '22 have all been with longer duration in order to get access to capacity and that of course means that that elevated cost will stay there for a while. And if you look at our overall fleet, I mean more or less half of the ships that we have or little bit more than that are ships that are on charter. So that is certainly a fairly significant cost component. I don't know Heiko or Mark, do you have anything to add to that?
Mark Frese: Maybe just one addition to that. Compared maybe to other structures, we can say that due to the initiative we did on less for longer right at the beginning into '20, they still pay off a little bit. Yes, '21, '22 for sure longer durations. But overall, our exposure in terms of charter overall and duration and prices should be a little bit below market.
Heiko Hoffmann: Maybe only 1 additional one. Rolf said the number of ships chartered in slightly above 50%, that's true. Capacity-wise it's roughly 40%.
Operator: [Operator Instructions]. The next question comes from Marc Zeck from Stifel.
Marc Zeck: First one is a bit of, let's say, market update on making sense of the latest CTS data for March and it shows that Far East at hull growth rates were actually positive in March by 8% or so year-over-year compared to minus 10%, minus 15% for the latest months. And I guess also North-South was quite strong in March with plus 5% or plus 7% year-over-year. Did you see that continue or can you confirm that that's also the case for the tonnage you moved and if so, can you confirm that this kind of was also the case for April or maybe in May what you see in terms of forward bookings? That would be my first question.
Rolf Habben Jansen: I think in terms of statistics, the first quarter is always the one that's the most difficult to read because of Chinese New Year, which is typically not always in the same week. That's also why I believe we should look at Q1 on the whole and then I think we are at minus 7.5% or something like that across the quarter with clearly a somewhat improving trend towards the end of the quarter. I don't think that we see significant growth in any of the markets if we look at the entire quarter and we also don't see a huge pickup in demand after that.
Marc Zeck: Second question would be on current contract negotiations on the Transpacific. I guess most freight rates and put spot rates that are probably below cost from the Transpacific. What is your feeling about the level of contract rates that you can negotiate with clients on the Transpacific? Is it close to current spot or will you have, let's say, a premium that makes you net profit positive on this?
Rolf Habben Jansen: When we look at the Transpacific, we're still wrapping up the negotiation season as we speak. I think you're absolutely right that some of the spot rates have gone to levels that really do not make sense because you simply lose too much money. We do not close contracts for 12 months duration if we know already upfront that we are going to lose a significant amount of money on that. So yes, most of the contract rates have been closed at levels that are definitely above the spot level and I think that is also right. Having said that, rate negotiations on the Transpacific have not been easy this year because contrary to what we've seen in the last couple of years, of course there was a lot of pressure on the market and that normally does not result in higher prices.
Marc Zeck: Right. And last question would be on scrapping, maybe to get a feeling. Mark, could you tell us about your scrapping and how much from existing ships, you plan to scrap in the next couple of months, years, quarters?
Mark Frese: That was a little bit difficult to hear, but I believe your question was on scrapping and whether we at Hapag have any plans to scrap some ships. And the answer to that is yes. Yes, we have a number of ships that are reaching the end of their lifetime and, as we speak, we are looking at a couple of specific projects and that will very likely result in us sending some ships to the scrap yards in the foreseeable future.
Marc Zeck: I was asking for percentage now, maybe that wasn't audible or don't you disclose the number?
Mark Frese: I mean I'm not going to talk about a specific percentage because then the next question is on how do you then measure that. I mean we have a number of ships that are going to reach the end of their lifetime over the next 24 months. I think we talk about a double-digit number of ships that are reaching that and I want you to assume that the majority of those will go to the scrap yards when they reach the end of lifetime.
Operator: [Operator Instructions]. The next question comes from Andy Chu from DB.
Andy Chu: Two questions for me, please. First one is on freight rates and is there any color, Rolf, you can give us around sort of where you think freight rates will go for the remainder of the year in terms of the magnitude? And then looking further ahead given your comments on supply potentially exceeding demand, is it therefore just sensible or a good starting point to think about freight rates then being sort of flattish in '24 and '25? Then my second question is on just capital allocation. You still got a very strong balance sheet post the EUR11 billion plus dividend payout. Could you just remind us in terms of capital allocation, your priorities around dividend and what you might deploy in terms of further M&A?
Rolf Habben Jansen: Maybe to take the second one first. Yes, you are absolutely right, our balance sheet is still very strong. That also means that we have the ability to invest in terminals and also do potentially some M&A in that field. In the end what we will do there will depend on the opportunities that come by. Today, we still see that many assets are in our opinion overpriced and that means that we do not see the urgency to do anything on that soon. Also shouldn't forget that last year we've deployed quite a bit of capital there with the transactions with Spinelli, J M Baxi and with SAAM. We also need to make sure that we bring those companies properly into the Hapag-Lloyd or into our structures. So yes, we will continue to look for things. We have no specific numbers or targets on that because we will do it if and when we see the right opportunity. The good thing is that we have the flexibility to act if and when that is possible. In terms of freight rates, I was hoping that you would give me a little bit of color on that, Andy, because this is probably the -- this remains the most difficult thing to predict. There's a couple of things that one can say about it when you take a step back. I mean, right now we see spot rates being very, very low in a number of the head holes. If we're going to see a little bit of uptick in demand seasonal or going towards the peak season, I certainly expect to see a bit of recovery on those spot markets certainly for -- spot rates certainly for a number of months probably starting towards end of Q2, beginning Q3 at least until Golden Week. After that, I think it's very difficult to judge. What you can say though is that if you look back in history, there have only been short periods of time when rates are really far below cost. I think because also keeping in mind that 65% of the cost of every voyage is variable that as soon as demand drops too much, people will start taking out cost and over time that hopefully helps us that rates will go back to a level, which is at least at or hopefully slightly better than cost. And as such, your long-term outlook on freight rates should be that it will remain, I don't know, 25%, 30%, 35% above what we have seen in 2018, 2019 simply because if that would not happen, we would end up with a lot of cash negative shipments. And then with 65% of the cost being variable, we have to take action to mitigate cost.
Andy Chu: And any comments on dividend?
Rolf Habben Jansen: Apart from the fact that we just paid out a very significant dividend, our dividend policy remains unchanged and we will look at it year-on-year what we will do. And that of course also relates to what is our investment program, what's our CapEx program. We will certainly have a much deeper look at that over the upcoming couple of months as we make our plan towards 2030. And then we don't need to make any decisions on dividend until the beginning of next year.
Operator: [Operator Instructions]. The next question is a follow-up from Sam Bland from JPMorgan.
Samuel Bland: Question again was on spot rates, a favorite topic. You mentioned earlier that Transpacific rates were I think you said they got to an unsustainable level. Was that lane clearly the worst area or were there sort of other regions and lanes which were also unsustainable or maybe they still are?
Rolf Habben Jansen: No. I think Transpacific, but also Far East trade into Europe has gone too. It's the big East-West rates that tend to go first on that and that's what happened also this time.
Operator: We have a follow-up question from Marc Zeck from Stifel.
Marc Zeck: Just on, let's say, the capital deployment or your strategy. As you know, Maersk obviously expanded quite a bit in logistics. Now CMA has bought up on the logistics freight buying the Bollore assets. Has that kind of changed your thinking on this or are you still mostly looking into terminals? And then also I guess there was a couple of weeks before an interview with [indiscernible] who talked about maybe you getting involved to some extent in the DB Schenker trade. Is that something that you would look at or is DB Schenker not on the cards at all for you?
Rolf Habben Jansen: We get this question a lot and sometimes I think people will just continue repeating the question until they get a different answer. But I have to disappoint you on that because we still believe that our strategy to remain close to our core, which is liner shipping, everything that is linked to that as well as terminals and infrastructure is probably roughly right. We think that there is a segment for that more integrated offering like for example, Maersk is bringing and CMA although they do it actually quite different because they keep the 2 businesses much more separate and as such it's more of a portfolio or conglomerate investment rather than 1 business. So no, I don't think that you will be seeing big investments from Hapag-Lloyd in logistics anytime soon and I also don't think that we're going to get involved in the DB Schenker sale.
Operator: We have another follow-up question from Lars Heindorff from Nordea.
Lars Heindorff: I promise I won't ask you about the rates. So maybe a question on the alliance structure. There's recently been a case in the U.S. with the FMC where they've been ruling against some carriers. Some of the BCOs has been filing complaints about lack of services and all these things on the back of what happened during the pandemic. And if I understand it correctly from a European perspective, the exception from the competition that will expire in '24. So just want to get your take and your thoughts about if there are any political side and aspects on the competition rules that might change and how you feel about that?
Rolf Habben Jansen: Competition rules of course they evolve and I don't think that competition rules will remain exactly the same for the next 25 years. I would also say though that when you look at alliances, they have been around in various way, shapes and forms over many, many years. And when you look at what happened with the cost of container shipping, then we've also seen that that cost has consistently come down. And even if you look at cost as we see it today, it's in real terms very much below what it was for example 10 or 15 years ago. So all in all, that cost curve has actually worked well. Now we have had 2 very extraordinary years where there was a complete imbalance between supply and demand and rates went through the roof and I think that incorrectly has been attributed to the alliance structure. And you can also see that now that demand has come down that the market has also very, very rapidly, normalized, which is another sign that the economic forces actually work well. So I do expect that those rules will continue to evolve and become better and there will certainly be some changes here and there and I think that's also totally fine. But I also believe that people will continue to see that in and of itself to have some kind of cooperation between lines to ensure that there is sufficient choice in the market and that there are sufficient services available that that's important. So yes, I expect to see some changes. I think that's good. We're happy to work with the regulators also on that and of course we will also stick to all the rules. But I also believe that if you take a step back and you look at it over somewhat longer time period that one should also conclude that these cooperations in general have actually increased competition and I think that's a good thing.
Operator: That was the last question. Please direct any further questions to the Investor Relations team. I now hand the conference back over to Rolf Habben Jansen for any closing remarks.
Rolf Habben Jansen: Thank you very much here. Nothing to add from our side. We thank you for your time. Thank you for your questions. Appreciate it as always and please don't hesitate to reach out to us if there's anything else that you would like to know. Thank you. Bye, bye.
Operator: Ladies and gentlemen, the conference is now concluded and you may disconnect your telephone. Thank you for joining and have a pleasant day. Goodbye.